Operator: Greetings and welcome to Allscripts' Fourth Quarter and Full-Year 2021 Earnings Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. I would like to turn the conference over to your host, Jenny Gelinas. Thank you, you may begin.
Jenny Gelinas: Thank you very much. Good afternoon, and welcome to the Allscripts' Fourth Quarter 2021 Earnings Conference Call. Our speakers today are Paul Black, Allscripts' Chief Executive Officer; and Rick Poulton, our President and Chief Financial Officer. We will be making a number of forward-looking statements during the presentation and the Q&A part of the call. These statements are based on current expectations and involve a number of risks and uncertainties that could cause our actual results to vary materially. We undertake no obligation to revise these forward-looking statements in light of new information or future events. Please refer to our earnings release and SEC filings for more information regarding the risk factors that may affect our results. Please reference the GAAP and non-GAAP financial statements as well as the non-GAAP tables in our earnings release and the supplemental workbook that are both available on our Investor Relations website. And with that, I'm going to hand over the call to Paul Black.
Paul Black: Thanks, Jenny. Good afternoon and thank you all for joining us today. I'd like to start by recognizing my colleagues at Allscripts for delivering such strong results. I want to thank our associates who have continued to demonstrate what means to be all-in. This spirit has driven us forward to success despite all the bizarre unprecedented and certainly unplanned events that have occurred over the past two years. Looking back over the past 24 months, globally we have experienced what we hope to be a once-in-a-lifetime event. We began 2020 like everyone, blindsided by the global pandemic needing to quickly respond to our clients and our associates' needs. We had a massive pivot during the course of February through June 2020. There was a substantial amount of work performed, a great focus on unique programs and new ways of running the business. The outcomes we discussed today were created by all the dedicated Allscripts associates. Nowhere however were the changes to the daily life fell more directly than with clients who serve on the frontline of the pandemic and in the research labs where the scientists were studying clinical trial results in an effort to safely, but rapidly create a vaccine that we cure the pandemic. Working from home became the norm for most of the functions inside of our business, supporting, selling, collecting, installing, running, operating and upgrading our solutions across all clients across the globe, to help move to remote virtual environment in most cases, except for the people that were on-site of the client that are part of the manned services organizations. Those were two difficult years. I'm very proud of his executive management team and our ability to see through the fog making the decisions to position Allscripts with success we are now all collectively realizing. We invested in the core focused on creating value and on unlocking value. One year ago we discussed the prior year of reset at Allscripts, where we reset our client priorities, reset our cost base, reset our portfolio, and reset our balance sheet and capital structure. We also highlighted our 2021 priorities focusing on delivering, and this team has delivered consistent results. Executing the plan on the Allscripts financial flywheel our performance delivered as advertised, highly recurring revenue, significant improved adjusted EBITDA margins, improve free cash flow conversion and a continuous focus on returning capital while investing for growth in the existing business. I'm pleased with the solid 2021 full year results, which continue the forward momentum at Allscripts into 2022. We made multiple investments over the years to create strategic platforms to distinguish Allscripts and make us relevant in today's marketplaces. These EMR agnostic platforms expand the breadth and the depth of our solution portfolio. Rick will highlight how these investments in payer, data analytics, life sciences and research marketplaces reflect the relevance that we have established around the globe. These investments were supported by our Board and remain strategically important to us and clearly have allowed us to reposition the company to where we are today. We have also continued to make deliberate investments in our core EMR platforms. This has driven cross-sell opportunities in hosting, cloud, telemed, cyber, interoperability, whitespace, outsourcing and revenue cycle. A few highlights for the fourth quarter. In the United Kingdom Medway NHS Foundation Trust agreed to expand its Allscripts Patient Administration System footprint by deploying Sunrise Clinicals. Its aim was to deploy the solution faster than any other UK client, with the Phase 1 to be live before the end of 2021. Our collector teams met that challenge in a COVID altered virtual deployment that was completed in just under five months. Medway NHS Foundation Trust is now live with Sunrise version 21.1. They documented more than 1500 clinical notes in the first 24 hours of deployment. Also in the United Kingdom the premier cardiac trust, Liverpool Heart and Chest has achieved HIMSS level six designation. As our first HIMSS stage six client in the United Kingdom, this is a major milestone for our company, and a significant achievement for the teams who have supported this Liverpool Trust throughout the journey through patient safety, and full digitization. Our longtime client Northwell Health expanded its partnership with Allscripts by selecting Sunrise Perioperative Solution for their 20 hospitals. Our solution will be replacing SIS, a third party point solution. All these wins are important examples of investment in the core that created whitespace opportunities for Allscripts and deliver a single unified patient record for our clients, investments that expand our addressable market and simplify business for the client. SUNY Downstate in Brooklyn signed to migrate to Azure Cloud in Sunrise platform of health. Moving to the cloud allows SUNY to participate in lower costs of ownership while also improving EHR experience for their clinicians and patients. A long term client, Jennie Stuart Health, a community hospital in Kentucky signed to move to the Sunrise Community Care platform from their existing Paragon Instance . In Iowa, Ringgold Hospital, similarly selected Sunrise Community Care to replace their Paragon Instance. Hospital leadership in both instances, cite the comprehensiveness of the solution and their ability to maintain local control of clinical and financial deployment decisions as key factors in their SunCom decisions. We're proud to also partner with Next Level Urgent Care who has selected Allscripts Touchworks on the Azure platform to improve connectivity, better provide better EHR workflows, and greatly advance analytics in all its locations. Now on to our communities. A distinctive part of Allscripts is our caring culture of giving back to the communities where we live. When communities are in need, people show up, Allscripts shows up. I refer to this as a soul of our company. In December, Allscripts associates participated in disaster relief, fundraising for the Southern and Midwest Red Cross, in support of those affected by the tornadoes that devastated these communities across eight United States. I'm extremely proud of our response. We raised thousands of dollars for relief and recovery efforts. Over the past few months, we've been successful at introducing three new enrichment programs inside of Allscripts; Allscripts Black Alliance, Veterans and Allies, and the Hispanic Outreach for Latinos at Allscripts. This is in addition to two long standing enrichment groups, Allscripts Women's Engagement and Generation Next. These enrichment groups open to all associates help build a sense of community and foster environment in which every voice is heard and valued. In closing, we remain optimistic about our market and our company with the investments that we have made in expanding in new solution platforms we believe Allscripts is distinctly positioned to continue to deliver mission critical outcomes for providers, payers, pharma, and research organizations. New client prospects are recognizing our distinct offerings. Selection decisions are increasingly driven by appreciation for our agility, our methodology, and our solution driven capabilities. These attributes should position us well for 2022 and beyond. Now, I'd like to turn the call over to Rick Poulton, Allscripts President and CFO.
Rick Poulton: Okay, thank you, Paul and thanks, everybody, for joining us today. Just one more reminder, as Jenny had indicated, additional financial details are available in the supplemental financial data workbook that is posted to our Investor Relations website. In summary, the fourth quarter was by far our best quarterly performance in years and it was driven by both, our continued discipline and managing our cost structure, along with the traditional seasonal strengths that we experienced in Q4 for both sales and revenue. This combination of forces resulted in significant operating leverage and very strong sequential and year-over-year growth in margin performance, adjusted EBITDA, earnings per share and free cash flow. So with that overview, let me highlight a few items starting with our bookings and revenue performance. We reported $219 million of new bookings in the quarter, which was up 21% year-over-year, and revenue in the fourth quarter was $392 million, which was up 1% year-over-year. Like the fourth quarter of 2020 we had a very good revenue mix during the quarter with strong contribution from software sales, and workflow linked revenue, both of which are high margin contributors. As has been the case for several quarters now, our revenue results continue to be a tale of two different stories, with our hospitals and large physician practice segment being down 2% year-over-year and while our Veradigm segment grew by 9% year-over-year. As I've stated many times now on these earnings calls, our goal is to enhance your understanding and bring greater transparency to investors with what we are doing at Veradigm. In addition to the segment reporting that we initiated last quarter, for several quarters now, I've been providing examples of commercial deals that we executed during the quarter that will be part of driving our future reported results. In the fourth quarter of 2021, we signed a deal with Moderna to provide research, consulting, and data analytic services for eight separate real world database studies focused on gaining a better understanding of the impact of different aspects of Moderna's COVID-19 vaccine in the U.S. population. These studies will be conducted using clinical electronic health record data linked to healthcare claims data, and this project will contribute significantly to the world's deeper understanding of the real world impact of COVID-19 vaccines. Additionally, we recently signed an agreement with the Social Security Administration, whose objective is to improve the speed and quality of the disability determination process through more efficient and effective health record acquisition and subsequent data integration processes. Not only do we expect this contract to be a meaningful financial contributor, it will also be a catalyst for us to evolve our capabilities to a point where we will have near real time chart extraction. Having near real time-chart extraction will benefit both providers and payers as we expedite the ability to close care gaps and manage at risk contracts. Overall, the Veradigm provider platform continues its growth trajectory, adding approximately 500 new practices and 5600 prescribing physicians during the quarter. So now, let me turn to the overall margin performance in the quarter. Consolidated non-GAAP gross margins was 45.2%, which was up 120 basis points year-over-year, and almost 300 basis points sequentially. This was driven largely by the revenue mix benefits that I described earlier. Further down the P&L, we continued to manage our operating expenses tightly and this helped drive very strong 22% year-over-year adjusted EBITDA growth in the quarter and it resulted in adjusted EBITDA margin of 23.9%. We also had an excellent quarter of free cash flow generation as we generated $66 million of cash flow from continuing operations and $48 million of free cash flow. Alongside our earnings, we had strong working capital performance as well and ended the year with the lowest days AR outstanding in the company's history. So I really want to thank publicly, Chad, Gina and the rest of our cash team for their tireless work improving this measure. Below the operating line we recognized a $61 million gain on the disposition of a minority interest that we held in our investment portfolio and this also resulted in equivalent inflow of cash from investing activities during the period. This cash inflow, plus the free cash flow generated from operating activities allowed us to repurchase $108 million of our common stock during the quarter, or 6.5 million shares, with essentially no change in net debt outstanding compared to the end of the third quarter. On a per share basis, we reported non-GAAP EPS of $0.79 per share, which was up 295% year-over-year reflecting both our strong income statement performance, as well as our lower share count. So, now, I want to wrap up my prepared remarks by commenting on our outlook for 2022. Our consolidated revenue outlook for 2022 is between 1% and 2% growth year-over-year, and our consolidated free cash flow outlook for 2022 is a range of $165 million to $175 million. Lastly, I'd like to remind everybody that our Board approved a new $250 million repurchase authorization in January, and we would expect to begin to utilize that throughout the year. And so with that, I'd like to open up the call for any questions.
Operator: Thank you.  First question comes from Michael Cherny with Bank of America. Please proceed with your question.
Michael Cherny: Good afternoon and congratulations on a really strong end to the year. I guess, Rick, maybe just a guidance question to start. You guide on revenue growth and free cash flow generation. It seems like the free cash number is roughly in line or slightly above consensus is for the year, is it safe to say that when thinking about some of the other, moving down the P&L metrics that sustainable level of EBITDA expansion is likely to continue based on what you've generated over the last couple of years?
Rick Poulton: Yes, first of all, thanks, Mike, for the comments. Yes, you know, look, I mean, the range $165 million to $175 million is, midpoint of that is right on top of where we came in, in 2021. We think we'll continue to see very similar trends. And we'll continue to have a little bit of, I think, cost improvement that will make up for some of the little bit of one time good guys that we thought we had in 2021 on the cash flow side. So all in all, I think the free cash was a good proxy for what we're expecting on an EBITDA basis.
Michael Cherny: Got it, certainly helpful. And then maybe a big picture question, probably for Paul and Rick, 2020 was the year of getting things started in lot of the portfolio cleanup and capital realization with the divestitures. 2021 was about cost base and driving significant margin expansion. As you think about kicking off this year, what is the theme or the story for 2022 relative to that next pathway of value creation?
Rick Poulton: Yes, I'll start and then see if Paul wants to add anything. I think, Mike, first off, I wouldn't say we're done thinking about the portfolio and making sure we continue to optimize the portfolio, nor are we done continuing to wring out efficiencies from our cost base. So I agree, those were headline themes, but those are not in the past by any means for us. I think what we're really continuing to emphasize and what you hear through some of our increased cadence around discussing Veradigm is that's a very real adjacency. It's a very real market opportunity. We think it's a large TAM that we are expanding into, and we're not just talking about it, we're actually building on what is years of investment and years of progress and creating the scale that we have. And so I think value creation off of adjacencies are continuing to win wallet share with the clients we have are how we will continue to grow.
Paul Black: Yes, I would like to add to that, very good summary.
Michael Cherny: Awesome, thanks so much.
Paul Black: Thanks Mike.
Rick Poulton: Thanks Mike.
Operator: Our next question is from Sean Dodge with RBC Capital Markets. Please proceed with your question.
Unidentified Analyst: Hey, good afternoon. This is Thomas Keller  on for Sean, thanks for taking the questions. So starting off on bookings, good quarter, can you give us little more visibility on maybe the composition of what share was Veradigm-related in the core business relative to proportion that is coming from competitive wins?
Rick Poulton: Well, first off, hi Tom, thanks for joining the call. Yes, we haven't ever broken out bookings at a segment level or product level and we're not going to start now. We -- it was a good quarter. We like the year-over-year growth, was our fourth quarter in a row where we had some year-over-year growth there. So, I think that's a nice sign of recovery off of what was the low point of 2020. But it's a mix across the business. There's no one place that's driving it entirely. We are getting business across a lot of our -- we are still skewed heavy towards provider centric revenue. We're getting a lot of revenue and bookings off of providers. But our adjacent markets in the parallel science space are becoming nice contributors as well.
Unidentified Analyst: Yes, fair enough, thank you. And then on Veradigm very impressive EBITDA margins in the quarter. Certainly a little more detail on that 33%, I mean the drivers and how we should think about that, versus any sort of longer term target for this segment?
Rick Poulton: Well, I guess I want to start by answering that with -- by just reminding you, I mean, fourth quarter is a nice mix quarter, it's always the best mix of the year. You tend to have some yearend spending by some clients and that really gives you significant leverage. So, you'd see pattern recognition, Q4 tends to be the best quarter and you try to build off of -- you see have to -- you have to start looking back at a year-over-year basis as opposed to just always sequentially. But, it's a nice, it's a good business. I mean, we're very excited about our opportunities there. It's a little lower capital intensity and a nice margin profile, and we really think we'll get good operating leverage as we continue to grow there.
Unidentified Analyst: Okay, great. Thanks and congrats on a good year.
Rick Poulton: Thank you, Tom.
Paul Black: Thank you.
Operator: Our next question comes from Charles Rhyee with Cowen. Please proceed with your question.
Charles Rhyee: Yes, thanks for taking the questions and congrats on the end of the year here. You know, Rick, just looking at the hospital business here and obviously, you've had to work through the challenges of some customer attritions, particularly in the academic centers. Is it fair to think and sort of the attendant run offs in revenues from those losses, at this point what do we have left or have we -- is it right to think given the revenue guide for the year, we've kind of turned the corner here, and we've kind of run off most of revenues that we would expect to kind of go away? And maybe a sense for what the underlying growth for the remaining business has looked like in this segment?
Rick Poulton: Yes. Hi, Charles, thanks for joining us. Yes, I guess here's how I'll try to steer you towards thinking about that answer. Look, if you can see by the segment presentations that we've given you that the hospital business was down 3% year-over-year in Q3 and more like 2% in Q4. But you see, you saw that kind of pattern there. The way I'd like to think about attrition, or talk about attrition, particularly when you're talking about larger health systems or large practices, which don't transition on any kind of knife edge, it's a long process is I use a metaphor of like a funnel, how much is going in the top of the funnel, and then it takes a while to kind of come through and ultimately comes out the bottom and you see it in the P&L when it's coming out the bottom. We, in 2021 had had very little go back into the top of the funnel. So in that regard, I feel pretty good about that. But we still had some trickling through the bottom, and we'll still have some trickling through the bottom in 2022 as well. So you can see by our revenue guidance on a consolidated basis, and you can see some trends that we've had at Veradigm and some trends we've had at the hospital segment. When you think about the weighted average, I think you can see that, we're not we're not 100% done with that run off.
Charles Rhyee: That's fair, but do you think this coming year we should get through the bulk of it then and we would -- would you obviously don't ask too much about even beyond '22, but this kind of growth, would you expect to see maybe some continued acceleration as we think further into the future?
Rick Poulton: Yes, I mean, I think what we feel comfortable saying, Charles is that the kind of the image, if you will, or the sort of profile of the customers that we'd lost a lot of academics, as you mentioned, we've kind of run most of our course there, and so we don't anticipate a lot of new going again, staying with the metaphor of going into the top of the funnel. And so most, we'll have a lot run out in 2022, there may be a little bit of residual left at the end of the year, but that's our best outlook right now. What we can't really predict, of course, is what could happen in terms of continued consolidation or mergers in the industry, and what that effect would have, but looking at the profile of what we have today, I think it's fair to say we're on the -- we're in the back half or the back swing are almost done with the march through our client base of attrition.
Charles Rhyee: That's helpful. And just to follow up on something, one of Mike's question, which is, you mentioned about the '22 free cash flow as kind of a good proxy for EBITDA, you kind of, you made some mention of some good guys in '21. Anything that you'd want to really call out to make sure as we're modeling to take into account?
Rick Poulton:  Well, I think it wasn't big numbers, Charles, but we -- you may recall, we talked, I think it was Q3 that we had a recovery of some funds from one of our insurance companies, that would have been an unusual, but this is single digit million dollars that I'm talking about. So 2021 had a little bit of gyration, but not much and again, midpoint of our range for 2022 is really on top of what we saw in 2021. And so I think you can think of it as the little bit of impact of the one-time goodness we had in 2021 is offset by business improvement in 2022 to get to kind of the same place.
Charles Rhyee: That's helpful. I appreciate it. And thanks and congrats again.
Paul Black: Thank you, Charles.
Rick Poulton: Thank you.
Operator: Our next question comes from Jeff Garro with Piper Sandler. Please proceed with your question.
Jeff Garro: Yes, good afternoon. Congrats on the quarter and thanks for taking the questions. Maybe that's one more about business mix from a different angle, I was hoping you could discuss the recent international trends and go forward expectations for OUS geographies?
Paul Black: Sure, we've had some good wins there. Those are all, if you will, preceded by some good deployments, which is great, meaning the reference ability of the clients outside the United States as inside the United States, but specifically outside the United States is quite high. And as those people, other people, other trusts in the United Kingdom, folks in Canada, other people in the in the Asia Pacific realm are like looking for a partner, it helps a lot that we have good solid references outside the United States. As we've talked about in the past there's some larger opportunities that are out there, that we have been participating in and working on for a long period of time. Those come in, however, at lumpy and somewhat unpredictable phases. So we want to be in and so that we can win them, but it's very difficult for us to forecast and or predict them, especially given what's going on with the pandemic and now some other things that have happened throughout the rest of the world. So, at a global basis, outside the United States, decisions are made at the Ministry of Health level, typically at the government level, that's typically a longer sell cycle, but there's business there. So we've had other expansions. So inside of some of our organizations, as we said, in the United States, they'll buy more solutions from us as we make them available, like perioperative suites and many other adjacent clinical arenas that they're interested in, as well as we are going to be announcing some additional trusts that have, as they assimilate in certain geographies, they will go if you will, geography-wide with certain solutions, and we expect to participate in that as well.
Jeff Garro: Nice and great to hear, that's helpful. And then one more from me, maybe you could just help us reconcile some of the different moving pieces in the revenue guidance for next year and just really thinking about the strong bookings growth this year not quite the same level of revenue growth expected next year, as well as the sequential drop off in backlog. So just how the different contributors factor into the revenue growth and the timing of different contributions?
Rick Poulton: Well, I mean, Jeff, there's -- it's, you can have a very direct line between backlog, bookings and in your revenue. As you'll recall bookings is, what we count in bookings, at least what we count is new business and it's an aggregation of the contract value of a new deal. So, if you have longer term deals you're averaging multiple years there, and, or you're adding multiple years there, I should say, and it begins to come to revenue when a solution actually goes live. And so you can have gaps in time between a contract and when you go live. So there's always a little bit of gap on bookings relative to revenue. Backlog though on the other hand, includes everything that's just renewal business as well. So, when we renew a large, let's say, managed services contract or something like that, it will have zero effect on bookings, but will go into backlog for its full contract value. And then book, and then in that instance, backlog can move around, depending on where you are in renewal cycles for large contracts. So you have to just recognize that maybe over the long-term, there's a good connection, but in near term periods it's hard to draw a straight line between those couple measures. So our outlook for revenue for next year takes into account what we've done in terms of bookings back half of 2021, as well as what we expect to sell early in 2022. Those will be the areas that have the most direct impact on the 2022 revenue. So we factored that in and we factored that in across both segments of our business to come up with our consolidated guidance.
Jeff Garro: Okay, got it, that that's helpful. And just to clarify the backlog the sequential downtick is, is that attributable to the renewal activity you discussed or anything one-off there that we should be considering?
Rick Poulton: Yes, I would say it's just a point in time relative to contract renewals. So if you trace back, we had a large, very large uptick in backlog when we renewed our large managed services agreement with Northwell. And obviously that -- you put it all in and then you start to chisel it away as time goes on, so that's just one example. But you should think of backlog rundown as a function of renewal cycle on contracts.
Jeff Garro: Understood, thank you.
Paul Black: Thanks, Jeff.
Rick Poulton: You are welcome.
Operator: Our next question is from George Hill with Deutsche Bank. Please proceed with your question.
Unidentified Analyst: Hi, it's  for George, thanks for taking the questions. So we started seeing a lot of the headlines in the healthcare technology, trade press around use of many EMR systems, given the last purchasing cycle ended in 2015, and '16. So a lot of these deployments are already six or seven years old. Are you seeing increasing demand in the market right now? And specifically, what functionalities are drawing most of the interest? Thanks.
Rick Poulton: I mean, we're -- if we understood your question right, you're asking about trends on perhaps the replacement market, given people have been using these systems for several years now? Yes, I mean, there's certainly a replacement market opportunity out there. It's one we participate aggressively in. Paul referred to some momentum and some wins in his comments earlier, those would be largely coming out of the replacement market, certainly here in the US, that would become another replacement market. International wins are not always replacement. There's a lot of those times, that's first time adoption. But yes, I mean, it's a -- there's definitely a demand market out there. I wouldn't say we've seen a significant change in the profile or volume of demand right now in the in the large health system space. Ambulatory market has its share of churn. I would say the same thing, that's not a significant change relative to what we've seen in the last year to two years.
Unidentified Analyst: Okay, great. Thanks.
Rick Poulton: Thanks for the question.
Paul Black: Thank you.
Operator: Our next question is from Stephanie Davis with SVB Leerink. Please proceed with your question.
Stephanie Demko: Thank you for taking my question guys and congrats on not just a good quarter, but a clean, good quarter, which in a while coming. I like it.
Paul Black: Thank you, Stephanie.
Rick Poulton: Thank you.
Stephanie Demko: You had a few big wins on the Veradigm side that you called out in the quarter. So I thought it might be helpful just to refresh us on the Veradigm business model. How should we think about the recurring mix of these revenues? And I guess and a follow on to that one, if you think about this as a mostly recurring revenue stream, is improving the top line growth rate going to be a question of improving Veradigm growth, getting down to the low double digits or it is going to be more like hot stopping the hospital bleeds? Or does Rick have something completely else up his sleeve that I hadn’t thought about?
Rick Poulton: My mind stuff, I can't tell you all my tricks. Yes, well, so I guess maybe I'll take some of that in reverse order. The Veradigm business opportunity is, doesn't feed very heavily off of our hospital base or even large physician practice base. There is a little bit of link to some of our larger physician clients, but very little to hospitals. So whatever trend lines are happening in hospital business doesn't really have a bearing on what we're doing in Veradigm. The profile of the DLT, yes I mean, I've continued to provide a few different anecdotes or illustrations of some of the business we're doing there. They'll -- the projects that I've mentioned are kind of, the way I would think about it Stephanie is, they are recurring customer relationships, but frequently, in the case of like, the Moderna example I gave you, recurring customer relationships with solving a little different study. So these are different studies that are kind of top of mind are very topical to them that we'd be working on and they're not necessarily long-term recurring. The example with social security administration I would expect to think of that -- you should think of that as recurring business. That will be a long-term, type of activity, we're doing every quarter for them. So, that's what I would describe the current profile as it pertains to our payer and life science clients. It's a good mix of both recurring and sometimes nonrecurring business. The Veradigm business is as we've shared a little bit in the past is a mix today of about 80% revenue that comes from providers and 20% coming from payer and life science entities or end markets. And the growth on the payer and life science side is significantly higher than the growth on the provider side, but provider side is growing and that's a foundation that really gives us the assets that are interesting to the payer and life science end markets. So, we keep a strong foundation on the provider side, and that allows the growth opportunity the on the other side. So, it's very much a three legged stool, and very self reinforcing. So that's why we're talking about it more, and that's why we're continuing to invest there. And we think again, these are very large end markets, so our opportunity to continue to grow in them has a lot of runway to it from where we sit.
Stephanie Demko: Continuing on that thought then, you have a lot of opportunity in Veradigm and sensing more recurring revenue, which I'm assuming comes on at a healthy incremental margin, is there any reason to believe that the margin expansion pace should slow down meaningfully?
Rick Poulton: No, I think we're going to get nice operating leverage Stephanie and so I think when we talk about EBITDA margins, those should continue to expand as we grow in particular. Gross margins there's probably some room, but I'm not sure that that will be changing as much, but we'll definitely get the operating leverage down at the bottom line.
Stephanie Demko: Awesome, glad to hear, congrats again.
Rick Poulton: Thank you.
Operator: Our next question is from Don Hooker with KeyBanc. Please proceed with your question.
Don Hooker: Great, good afternoon. Hey, quick, quick, detailed question. Given the sizable share of repurchases, what is your current share count may be today? I guess I'm trying to get sort of the timing on the share repurchase through the fourth quarter, what's our sort of baseline going into this year as you could be purchasing more shares?
Rick Poulton: It's -- so if you look at it on a fully diluted basis Don, it's not -- if you look at our P&L and look at the Q4 EPS calcs, you're in that zip code, I mean that's pretty close to where we are. So, we got a lot of repurchase activity done early in the quarter, so we didn’t get the full weighting of it in the quarter, but we got decent waiting to it. So, you're not far off when you use those numbers.
Don Hooker: Got you. And the bookings obviously were very strong, you referenced that social security contract, was that a big piece of that, was there like a big lump sum in that large bookings in the quarter?
Rick Poulton: No, we had a couple of Sunrise wins as well. We had a few things. I mean the bookings came across the whole company.
Don Hooker: Got you. And last one from me, I was a little bit, just want to make sure I'm not confused here. The free cash flow guidance for ‘22 I guess you're saying it’s going to be flat versus ‘21. Are you saying that EBITDA margins are also kind of flattish as well, is that kind of what we're supposed to imply from that? Just to be clear, I think you mentioned that in a couple questions, but I just want to be clear.
Rick Poulton: I think you can infer that from what from what I've given you so far, yes.
Don Hooker: Super, have a wonderful evening. Thank you.
Paul Black: Okay. Thanks Don.
Rick Poulton: Thanks, Don.
Operator: We have reached the end of the question-and-answer session. I would like to turn the call back over to Paul Black for closing comments.
Paul Black: Thank you very much Rob. And I want to thank all the associates who are listening, all the clients who are listening and importantly all the prospective clients who are listening today. We appreciate your time. We also appreciate everybody who’s been on the call and asked great questions today, we appreciate that as well because we think it’s important for us to be able to communicate this, but importantly, for us to be able to tell the story in this environment. So, thank you all. Have a good evening and we look forward to sharing with you our results as soon as we can, in 90 days. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time and we thank you for your participation.